Operator: Good day, and welcome to the Quest Resource Holding Corporation Fourth Quarter and Fiscal Year 2018 Earnings Call. Today's conference is being recorded. As a reminder, there will be a Q&A session during the today’s call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. David Mossberg, Investor Relations Representative. Please go ahead, sir.
David Mossberg: Thank you, Shanet. And thank you, everyone for joining us on the call. Just before we start, I want to apologize for the technical difficulties we’re having with our newswire services putting the press release out. So those of you who have not seen it, you can download it from the SEC website sec.gov. We also have an SEC document section under Investor Relations section of our website orhc.com and you could download it from the SEC section of the Investor Relations section as well. Beyond that, I'd like to remind everyone that this conference call may contain predictions, estimates and other forward-looking statements regarding the future events or future performance of Quest. Use of words like anticipate, project, estimate, expect, intend, believe and other similar expressions are intended to identify those forward-looking statements. Forward-looking statements also include statements regarding Quest's future opportunities for growth; Quest's expectations for revenue, margins, and profitability in future periods; Quest's industry position and industry trends; Quest's prospects, outlook and business strategies going forward; and Quest's belief regarding progress and timing. Such forward-looking statements are based on Quest's current expectations, estimates, projections, beliefs, and assumptions and involve significant risks and uncertainties. Actual events or Quest's results could differ materially from those discussed in the forward-looking statements as a result of various factors, including change in market trends, reduced demand and other competitive nature of Quest’s industries discussed in greater detail on Quest's filings with the Securities and Exchange Commission, including its report on Form 10-K for the year ended December 31, 2018. You are cautioned not to place undue reliance on such statements and to consult our SEC filings for additional risks and uncertainties. You can find these documents on Quest's website at qrhc.com. Quest's forward-looking statements are presented as of the date made, and we disclaim any duty to update such statements unless required to do so by law. In addition, in this call, we will include a substantial amount of industry and market data and other statistical information, as well as Quest's observations and views about industry conditions and developments. The data and information are based on Quest's estimates, independent publications, government publications and reports by market research firms and other sources. Although, Quest believes these sources are reliable and the data and other information are accurate, we caution that Quest does not independently verify the reliability of sources or the accuracy of the information. In addition, Quest's observations and view about industry conditions and developments are its own and may not be supported or agreed with by other industry participants or observers. Certain non-GAAP financial measures will also be discussed during this call. These non-GAAP measures are used by the management to make strategic decisions, forecast future results and evaluate the Company's current performance. Management believes that presentation of these non-GAAP financial measures is useful for investors understanding the assessment of the Company's ongoing core operations and prospects for the future. Unless it is otherwise stated, it should be assumed that any financials discussed on this call will be on a non-GAAP basis. Full reconciliations of non-GAAP to GAAP financial measures are included in today's earnings release. With all that said, I'll now turn the call over to Ray Hatch, President and Chief Executive Officer.
Ray Hatch: Thank you, Dave. And welcome to everybody on our call to discuss our fourth quarter and our 2018 financial results. Joining me today is Laurie Latham, our Senior Vice President and Chief Financial Officer. We accomplished a lot during 2018. We completed the transition in our go-to-market strategy in which we're now entirely focused on the right business, right markets and the right customers. As a result, customers are increasingly viewing this as a turnkey strategic partner that can help them meet their sustainability goals and not just a vendor that picks up their waste. We also completed a significant overhaul of our operations, improving efficiencies this created a win for our customers, our vendors, and for Quest, a win for our customers in the form of lowering their cost, improving service levels and increasing landfill diversion. A win for our vendors in the terms of improving asset utilization and operational efficiencies, and a win for Quest in terms of providing a sustainable level of gross margin, we've been consistently operating within our targeted gross margin range for the last five quarters. These accomplishments are beginning to show in improving financial results. For the first time in our history, during the fourth quarter we achieved GAAP net income for an individual quarter. We're able to deliver a 7% growth in gross profit dollars. And we added $1.5 million to our EBITDA. I point out that this is our most profitable year in terms of EBITDA in the history of the company. And we did this for the revenue base that was 25% lower than it was last year. The improvements we're seeing are a direct result of the strategic plan that we implemented a couple of years ago, while we still have a way to go. I'm optimistic that we have the right plan in place and we'll continue to see improvements in our financial performance during 2019 and thereafter. Before I get into more detail and an overview of our initiatives, I want to turn the call over to Laurie to review our financials. Laurie?
Laurie Latham: Thank you, Ray, and good afternoon to everyone on the call. Starting with the 2018 fourth quarter, revenue was $25.3 million, a 12% increase compared with $22.5 million in the fourth quarter last year. Year-over-year growth was primarily related to expansion within existing accounts. Gross profit for the fourth quarter was $4.4 million, compared to $3.1 million last year. Gross margin for the fourth quarter was 17.5%, a 3.9 percentage point improvement compared to last year. I want to point out that the gross margin can vary significantly from quarter-to-quarter as was the case during the fourth quarter, in which the margin was actually above our targeted range. Going forward we intend to continue to manage the business to maintain gross margin in our targeted range of low to mid teens, but advised that the gross margin can vary considerably from period-to-period. Fourth quarter operating expenses decreased 7% to $4.2 million, compared to $4.5 million during the same period last year. The decrease in operating expenses was primarily related to lower amortization expense as certain of our intangible assets were fully amortized as of July, 2018. The lower amortization expense was partially offset by an increase in SGA, primarily related to an increase in labor related expenses year-over-year. The net income per basic and diluted share was $0.01 for the fourth quarter of 2018, compared with a loss for basic and diluted share of $0.10 for the fourth quarter of 2017. Our adjusted EBITDA was $771,000 for the fourth quarter of 2018, which was an improvement of $1 million compared to 273,000 lost during the same period last year. We compute adjusted EBITDA, which is a non-GAAP financial measure to provide additional insight into our financial performance. I refer you to the table in today's press release for reconciliation to GAAP. Looking at the results for the year 2018, our revenue was $104 million versus $138 million a year ago, revenue comparisons with the prior year challenging due to our actions during 2017 to deliver improved operational and financial performance as we described in prior calls. Going forward, year-over-year revenue comparisons should be reflective of the strategic improvements that were made in our business. For the year 2018, gross profit increased 7% to $16.9 million, compared to $15.7 million for 2017. The gross margin percentage for 2018 was a record 16.2% of sales, a 4.9 percentage point improvement from 11% for 2017. I want to emphasize that the improvement in gross margin was not driven by price increases. It was driven by improvement in gross margin as a result of optimizing our procurement and changing the revenue mix to include more value-added services. Operating expenses decreased by $2.2 million to $18.9 million compared with $21.1 million in 2017. The decrease in operating expenses was related to lower amortization expense and a decrease in SG&A. The decrease in amortization expense was primarily related to certain intangibles that were fully amortized. The decrease in SG&A was primarily due to decreases in stock-based compensation of $915,000 and labor-related expenses of approximately $280,000. These decreases were offset by a net increase in bad debt expense of approximately $425,000, which included $610,000 that was expensed in the third quarter of 2018 to reflect our assessment of collectability of accounts receivable related to a customer's bankruptcy filing. For 2018, the loss per basic and diluted share was $0.16, which was an improvement compared with the loss per basic and diluted share of $0.38 reported for 2017. Adjusted EBITDA for 2018 was $2.4 million, a $1.5 million improvement from last year. And adjusted EBITDA margin was 2.3% of sales. These results reflect significant strides to reaching our adjusted EBITDA margin target of 4% to 6% of sales. We have operating leverage within our business model and we expect to continue to grow adjusted EBITDA and profitability at a faster pace than the topline going forward. Looking at our balance sheet, we generated $3 million in cash flow from operations during 2018 and we use that cash to pay down debt and bolster our cash position. We added $1 million to our cash balance which sat at $2.1 million at the end of 2018. We paid down $1.7 million of debt, which ended the year at $5.2 million. Under our $20 million credit facility which provides borrowing capacity to support our long-term growth plans, we had borrowing base availability of $11.3 million as of December 31st. So, at this time, Ray will proceed and discuss our initiatives and outlook.
Ray Hatch: Thank you, Laurie. Before we move on to review of our strategy, I'd like to go over the progress we've made in the last couple of years and to remind everyone why we're excited about the future here at Quest. Over the past two years, we shrank the revenue base by 44% by eliminating business that just didn't make sense and adding business that can sustainably produce attractive margin and returns. With that lower revenue base, we grew gross profit dollars by 17% in the last two years which is driven by improving the revenue mix and improving operational efficiencies. Last year we turned the corner from adjusted EBITDA losses to profitability and over the past two years, adjusted EBITDA showed nearly a $4 million improvement. We've also turned the corner on GAAP profitability. While we still have a way to go to reach adequate profitability returns, we've produced a first net -- quarterly net income in our history during the fourth quarter and we're well-positioned to grow GAAP profitability for years to come. These financial results are just the beginning of what we can do and I expect improvements to continue at a rapid pace. We're now targeting the right business and we have the right back office in place to execute. With this foundation, we're ready to resume growth of both top and bottom line. Over the next three to five years, I'm optimistic, we'll be able to return to revenue at the levels we have achieved in the past, while producing profit margins at our current target level. I now will recap the aspects of the business that give us confidence in achieving those goals. First, of course, there's tremendous efficiencies of scale and scope. We've processed millions of tons of waste during 2018 in every state across the U.S. We're the only company with a national footprint and the service offering that includes almost all waste streams. This provides a significant competitive differentiation. Second, we have a strong brand and a reputation of solving customer problems, by utilizing us customers can focus on their core business. Third, we have an asset-light business model that gives us the ability to scale rapidly, with less need for growth capital. Finally, there are significant and disruptive choices in how companies think about handling their waste, environmentally and socially responsible companies are increasingly looking for economical ways to recycle, instead of sending waste to a landfill. Quest is well-positioned to benefit and in some cases take a leadership role in affecting the secular growth trend. And what's been the balance of my prepared remarks, talking about the initiatives we have to grow the business. To-date, I think, we've done a great job of repositioning the company, improving our operations and reaching profitability. 2019 will be the year that we grow the top line. We plan to grow in three primary ways. The first way is very straightforward. For those existing customers, we will continue to grow by adding locations, as well as selling to them additional services. To capture this opportunity, we've established a clear delineation between farmers and hunters in our organization. With better alignment in our sales organization, our sales reps can build stronger relationships and expand their business with existing customers. The second way we plan to grow is by developing new service offerings that help customers address issues. We have a reputation of being innovative problem solver, creating new services not only help to create loyalty with our existing customers, it provides us opportunities for growth with a differentiated service offering for other current and prospective customers. To illustrate my point, I can highlight a few examples of new services we've recently introduced. We've created a new line of business for wastewater recycling for a large industrial client that reduced the client's costs and converted contaminated water into potable water. We developed an organic solution -- or, excuse me, organic waste program for large retailers in State of California to bring them into compliance with new state regulations. Quest has worked with a large food manufacturer in developing a process to divert expired goods going directly into a landfill. Instead the expired goods are not sent to landfill, they're sent to a depackaging site, giving them a higher percentage of landfill diversion, a key part -- which is a key part of their sustainability goals. Finally, we expect growth to come from a greater emphasis on new customer acquisition. During the latter half of 2018, we added several talented sales executives with 15 to 20 years of experience in relationships in specific verticals. Our team is building a strong pipeline based on relationships and we're getting a better understanding of the sales cycle and how those opportunities move through the pipeline, particularly in new end markets. It will take time for our pipeline to continue to mature, but we have recently received several smaller wins in food manufacturing, automotive and also in the property management market. In summary, we're pursuing multiple opportunities to reignite revenue growth. We have multiple shots on goal and we don't have to have 100% success rate to reach our targeted growth numbers. We've gone through a learning curve as it relates to entering new markets and I believe we're getting better at assessing these factors that lead to success in these markets. Before I open the call to questions, I have a few comments that make about our outlook. Growth from our existing customer base remains strong and our pipeline in new business is growing and maturing. As such, we believe our top line will grow within our targeted annual range of 10% to 15%. As Laurie said, we're managing the business so we continue to deliver gross margins within our targeted range as the low to mid-teens. While we're making some incremental investments in sales and marketing expense, we expect our operating expenses will continue to decrease as a percentage of revenue and demonstrate the operating leverage that exists in our business model. As a result, the bottom line should continue to grow at a faster pace to the top line. We're excited about our prospects, our outlook and business opportunities going forward. We expect the pace at which we add and renew business will accelerate. We believe our stronger foundation will allow for a sustainable business that can consistently grow our revenue, our profitability and ultimately shareholder value. I look forward to keep you updated on this progress. We now like the operator provide instruction on how listeners can queue up for questions. Operator?
Ray Hatch: Thank you, operator. I want to take this time again to thank all the folks and their interest in Quest and congratulate the Quest team members for all the hard work that's been done to complete this really -- to continue down this impressive transformation of the business. We really look forward to the rest of this year. We're excited about where we are more excited about where we're going. And we're glad you're here with us. So with that, we will end the call and look forward talking to you next time.
Operator: This concludes today's call. Thank you for your participation you may now disconnect.